Operator: Please stand by. We are about to begin. Good morning, and welcome to the Ryder System, Inc. Fourth Quarter 2025 Earnings Release Conference Call. All lines are in a listen-only mode until after the presentation. Today's call is being recorded. If you have any objections, please disconnect at this time. I would now like to introduce Ms. Calene F. Candela, Vice President, Relations for Ryder System, Inc. Ms. Candela, you may begin. Thank you. Good morning, and welcome to Ryder System, Inc.'s fourth quarter 2025 earnings Conference Call.
Calene F. Candela: I would like to remind you that during this presentation, you will hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political, and regulatory factors. More detailed information about these factors and a reconciliation of each non-GAAP financial measure to the nearest GAAP measure is contained in this morning's earnings release, earnings call presentation, and in Ryder System, Inc.'s filings with the Securities and Exchange Commission, which are available on Ryder System, Inc.'s website. Presenting on today's call are Robert E. Sanchez, Chairman and Chief Executive Officer; John J. Diez, President and Chief Operating Officer; and Cristina A. Gallo-Aquino, Executive Vice President and Chief Financial Officer. Additionally, Thomas M. Havens, President of Fleet Management Solutions, and Steve Sensing, President of Supply Chain Solutions and Dedicated Transportation Solutions, are on the call today and available for questions following the presentation. At this time, I will turn the call over to Robert.
Robert E. Sanchez: Good morning, everyone, and thanks for joining us. Today, I will begin by providing you with an update on our balanced growth strategy and share some highlights from our 2025 performance. Cristina will provide you with an overview of our fourth quarter results, which were in line with our expectations, and we will also discuss our capital spending and capital deployment capacity. John will then provide you with our outlook for 2026 and discuss the strategic initiatives that are the key drivers of expected earnings growth in 2026. Before I get started, I would like to provide a quick overview of our CEO succession plan, which was announced in December. Effective March 31, I will retire, and John J. Diez will assume the role of Chief Executive Officer. I will remain on Ryder System, Inc.'s board as Executive Chair. Many of you have had the opportunity to interact with John during his twenty-plus year career at Ryder System, Inc., where he has held various leadership roles across the organization, including Chief Financial Officer, as well as President of FMS and President of DTS. John has been a key player in the development, execution, and success of our balanced growth strategy, and I am confident that he is the right leader to build upon the strength of our transformed business model and create incremental value for our customers, employees, and shareholders. So with that, let's move to the strategic update on Slide four. We have made remarkable progress on our balanced growth strategy, and I continue to be extremely proud of the Ryder System, Inc. team for their consistent execution. Our journey has been transformative, enabling us to outperform prior cycles even during this prolonged freight downturn and providing us with a solid foundation for future growth. In order to establish our transformed foundation, we derisked the business model by significantly reducing our reliance on used vehicle proceeds to achieve our target returns. We also exited underperforming geographies and services. Our multiyear lease pricing and initial maintenance cost savings initiatives meaningfully contributed to increasing our return profile by delivering a combined annual pretax earnings benefit of over $225 million and also contributing to positive free cash flow over the cycle. In addition, we accelerated growth in our asset-light supply chain and dedicated businesses, resulting in a more resilient business mix that is less capital intensive. We continue to evolve our transformed foundation by executing on strategic priorities focused on operational excellence, customer-centric innovation, and profitable growth. We are expecting another $50 million in benefits from the next phase of our maintenance cost savings initiatives. We are optimizing our omnichannel retail warehouse network through continuous improvement and are better aligning our footprint with the demand environment. We are also taking cost actions to increase efficiency. We are investing in customer-centric technology aimed at delivering our customers a proactive supply chain that gives them a competitive advantage. We are enhancing proprietary technologies such as Ryder Share and Ryder Guide by embedding AI to increase functionality and effectiveness. Baton, a Ryder System, Inc. technology lab, is developing an AI-enabled software and data platform that will power next-generation customer-facing technology at Ryder System, Inc. We are leveraging AI from leading technology partners in various use cases, including increasing the effectiveness of our customer call centers. We continue to deploy automation and robotics in our warehouses to drive operating efficiencies. Technology and innovation, including how we deploy AI, is a key component of our strategy, and we will provide you with updates as our journey progresses. We continue to pursue profitable growth opportunities and are focused on higher return segments and verticals, increasing our share of wallet with Port to Door solutions, and generating acquisition synergies. Our transformed model has demonstrated the effectiveness of our balanced growth strategy by outperforming prior cycles. The earnings power and resiliency of our business continue to be supported by our high-quality contractual portfolio that generates over 90% of our revenue. Our significant flexible capital deployment capacity further strengthens our position and ability to pursue strategic opportunities. We are proud of the strong performance of our transformed business model and believe that executing on our balanced growth strategy will continue to deliver higher highs and higher lows over the cycle. Slide five illustrates how key financial and operating metrics have improved since 2018, reflecting the execution of our strategy. In 2018, prior to the implementation of our balanced growth strategy, the majority of our $8.4 billion of revenue was from FMS. Ryder System, Inc. generated comparable earnings per share of $5.95 and ROE of 13%. Operating cash flow was $1.7 billion. This was during peak freight cycle conditions. Now let's look at Ryder System, Inc. today. In 2025, a year in which freight market conditions remain at or near trough levels, our transformed business model has once again delivered meaningfully higher earnings and returns than it did during the 2018 peak. Through organic growth, strategic acquisitions, and innovative technology, we have shifted our revenue mix towards supply chain and dedicated, with 62% of our 2025 revenue generated by these asset-light businesses compared to 44% in 2018. 2025 comparable earnings per share of $12.92 are more than double 2018 comparable earnings per share of $5.95. ROE of 17% is well above the 13% generated during the 2018 cycle peak. As a result of profitable growth in our contractual lease, dedicated, and supply chain businesses, operating cash flow of $2.6 billion is up more than 50% from 2018. As shown here, in 2025, the business outperformed prior cycles even when comparing the pre-transformation peak to the current market environment. Turning to Slide six. I will share key performance highlights for the full year 2025. First, our resilient business model and benefits from our strategic initiatives delivered higher year-over-year earnings and solid returns in 2025. Comparable earnings per share was up 8%, and ROE was solid at 17%, in line with our expectations given where we are in the freight cycle. Next, consistent execution on multiyear strategic initiatives delivered $100 million in cumulative benefits through 2025. We now expect to outperform our initial estimate by $20 million and expect to realize another $70 million in incremental benefits in 2026. This takes the total expected annual benefit to $170 million. Finally, the earnings power of our high-quality contractual portfolio is driving higher operating cash flow, which continued to increase our capital deployment capacity in 2025. Our strong balance sheet and capital deployment capacity provide us with ample resources to support strategic growth opportunities while returning capital to shareholders. Since 2021, Ryder System, Inc. has generated $3 billion in free cash flow, repurchased 24% of shares outstanding, and increased the quarterly dividend by 57%. I will now turn the call over to Cristina to review our fourth quarter performance. Thanks, Robert.
Cristina A. Gallo-Aquino: An overview of total company results for the fourth quarter is on Page seven. Operating revenue of $2.6 billion in the fourth quarter was in line with the prior year as contractual revenue growth in SES was offset by lower revenue in DTS and FMS. Comparable earnings per share from continuing operations were $3.59 in the fourth quarter, up 4% from the prior year, reflecting benefits from share repurchases. Return on equity, our primary financial metric, was 17%, up from the prior year as benefits from share repurchase and dividends were partially offset by lower rental demand and used vehicle sales results. Year-to-date free cash flow increased to $946 million from $133 million in the prior year, reflecting reduced capital expenditures, lower income tax payments due to the permanent reinstatement of tax bonus depreciation, as well as lower working capital needs. Turning to fleet management results on page eight. Fleet Management Solutions operating revenue was down 1%, reflecting lower rental demand partially offset by higher choice lease revenue. Pretax earnings in fleet management were $136 million, down versus the prior year, reflecting weaker market conditions in rental and used vehicle sales. Our pricing and maintenance cost savings initiatives continue to benefit ChoiceLease performance. Rental results for the quarter reflect market conditions that remain weak. Rental demand increased sequentially, but only in line with historical seasonal trends and not indicating any improvement in market conditions. Rental demand this quarter was below the prior year. Lower rental activity was partially offset by higher rental power fleet pricing, which was up 5% year over year. Rental utilization on the power fleet was 72%, down slightly from the prior year of 73% on an average fleet that was 8% smaller. Fleet management EBT as a percent of operating revenue was 10.5% in the fourth quarter, below our long-term target of low teens over the cycle. Page nine highlights used vehicle sales results for the quarter. Year-over-year used tractor pricing increased 1%, and truck pricing declined 9%. On a sequential basis, pricing increased for both tractors and trucks, with tractors up 6% and trucks up 4%. Sequential pricing benefited from a higher retail mix as we realized better proceeds using the retail sales channel versus the wholesale channel. In the fourth quarter, 69% of our sales volume went through our retail sales channel, up from 54% in the third quarter. Our retail mix was also above prior year levels of 64%. Pricing in our retail sales channel declined 2% sequentially for tractors and declined 8% for trucks. During the quarter, we sold 3,600 used vehicles, down sequentially and versus the prior year. Used vehicle inventory of 9,500 vehicles is slightly above our targeted inventory range. Used vehicle pricing remained above residual value estimates used for depreciation purposes. Slide 23 in the appendix provides historical sales proceeds and current residual value estimates for used tractors and trucks for your information. Turning to supply chain on page 10. Operating revenue increased 3%, driven by new business and volumes in omnichannel retail. Supply chain earnings decreased 8% from the prior year as the benefits from operating revenue growth were more than offset by both lost business and extended customer production shutdowns in automotive. Supply chain EBT as a percent of operating revenue was 8% in the quarter, at the segment's long-term target of high single digits. Moving to dedicated on page 11, operating revenue decreased 4% due to lower fleet count reflecting the prolonged freight downturn. Dedicated EBT was above the prior year reflecting lower bad debt and benefits from acquisition synergies, partially offset by lower operating revenue. DTS results continued to benefit from pricing discipline as well as favorable market conditions for recruiting and retaining our professional drivers. Dedicated EBT as a percent of operating revenue was 8.9% in the quarter, at the segment's long-term high single-digit target. Turning to Slide 12. 2025 lease capital spending of $1.5 billion was below the prior year, reflecting lower lease sales activity. In 2026, we are forecasting lease spending to increase to $1.9 billion, reflecting higher replacement activity. We expect the ending lease fleet to modestly decline in 2026. 2025 rental capital spending of $300 million was below the prior year, as expected. In 2026, we are forecasting lower rental capital spending of $100 million, reflecting lower planned replacement activity. Our ending rental fleet is expected to decrease 7%, and our average rental fleet is expected to be down 13%. The rental fleet remains well below peak levels as we manage through an extended market slowdown. In rental, in recent years, we shifted capital spending to trucks versus tractors, as trucks have historically benefited from relatively stable demand and pricing trends. At year-end 2025, trucks represented approximately 60% of our rental fleet. Our full-year 2026 capital expenditures forecast of approximately $2.4 billion is above the prior year. We expect approximately $500 million in proceeds from the sale of used vehicles in 2026, in line with the prior year as we do not anticipate a meaningful recovery in market conditions. Full-year 2026 net capital expenditures are expected to be approximately $1.9 billion. Turning to page 13. In addition to increasing the earnings and return profile of the business, our transformed contractual portfolio is also generating significant operating cash flow. Improving the overall cash generation profile of the business is one of the essential elements of our balanced growth strategy. Better earnings performance is driving higher cash flow generation and, in turn, is deleveraging our balance sheet at a more rapid pace. This momentum is creating incremental debt capacity given our target leverage range of between two and a half and three times. As shown on the slide, over a three-year period, we expect to generate approximately $10.5 billion from operating cash flow and used vehicle sales proceeds. Our operating cash flow will benefit from improving contractual earnings. This creates approximately $3.5 billion of incremental debt capacity, resulting in $14 billion available for capital deployment. Over the same three-year period, we estimate approximately $9 billion will be deployed for the replacement of lease and rental vehicles and for dividends. This leaves around $5 billion, which equates to more than 60% of our year-end market cap available for flexible deployment to support growth and return capital to shareholders. We estimate about half of our flexible deployment capacity will be used for growth CapEx, and the remaining will be available for discretionary share repurchases and strategic acquisitions and investments. Our capital allocation priorities remain focused on profitable growth, strategic investments, and returning capital to our shareholders. Our top priority is to invest in organic growth. Aligned with these priorities, in 2025, we funded replacement CapEx of $1.8 billion and returned $664 million to shareholders through buybacks and dividends. In addition, earlier this year, we raised our quarterly dividend 12%, marking our third consecutive year with a double-digit increase. We also authorized a new discretionary repurchase program in the fourth quarter and approved our 198th consecutive dividend payment last week. Our balance sheet remains strong with leverage of 250% at year-end, at the lower end of our target range, and continues to provide ample capacity to fund our capital allocation priorities. With that, I will turn the call over to John to discuss our outlook.
John J. Diez: Thanks, Cristina. Slide 14 highlights key aspects of our 2026 outlook. In terms of market assumptions, we are expecting modest U.S. economic growth in 2026 and no meaningful change in freight market conditions. Our outlook also assumes U.S. Class 8 production declines 4% in 2026. We remain confident that secular trends will continue to favor transportation logistics outsourcing and that our operational expertise and strategic investments will continue to enable us to deliver increasing value to customers and shareholders. In terms of our financial forecast for 2026, operating revenue is expected to grow approximately 3% as revenue growth from new business and supply chain is offset by near-term pressures in dedicated and fleet management reflective of the freight cycle. 2026 comparable EPS is expected to increase by 12% at the high end of our $13.45 to $14.45 forecast range, driven by $70 million of benefits from our strategic initiatives. Return on equity is expected to increase to a range between 17-18%, reflecting earnings growth and share repurchase activity. We expect our transformed business model to deliver ROE in the low to mid-20s when market conditions improve for our transactional rental and used vehicle sales businesses, which will enable us to achieve our over-the-cycle ROE target of low 20s. Free cash flow is expected to be between $700 million to $800 million, down from the prior year, primarily reflecting higher lease vehicle replacement CapEx. Overall, we expect to deliver earnings growth and increase returns in 2026, reflecting our upsized strategic initiatives and the strength and durability of our transformed and cycle-tested business model. Slide 15 provides outlook highlights for each of our business segments. In Fleet Management, operating revenue growth is expected to be below the segment's mid-single-digit target, reflecting freight market conditions. FMS EBT as a percent of operating revenue is expected to be up year over year, reflecting benefits from strategic initiatives but remains below the segment's low teens target, reflecting weak rental and used vehicle sales conditions. We are confident in our ability to reach our long-term EBT target in FMS over time, based on the demonstrated earnings power of our contractual portfolio and benefits from strategic initiatives, as well as the earnings uplift we expect when market conditions in rental and used vehicle sales normalize. Supply chain operating revenue growth is expected to accelerate throughout the year, reflecting the timing of new sales, which will begin to benefit results midyear. SES is expected to exit 2026 with an operating revenue growth rate approaching the segment's low double-digit target. Supply chain EBT percent is expected to be at the segment's high single-digit target, reflecting revenue growth as well as benefits from incremental operating efficiencies in our omnichannel retail network. In dedicated, operating revenue growth is expected to be muted and below its high single-digit target, reflecting freight market conditions. DTS EBT as a percent of operating revenue is expected to be in the segment's high single-digit target range in 2026, reflecting the strength of the contractual dedicated portfolio, which we expect will continue to benefit from pricing discipline and our strategic initiatives. We expect to continue share repurchase activity and are leveraging our zero-based budgeting process to manage discretionary spending and mitigate inflationary costs. Supply chain is expected to be the key driver of our operating revenue growth. Overall, we expect the ongoing momentum from our strategic initiatives and high-quality contractual portfolio to drive 2026 earnings growth, with segment earnings in line with our expectations. Slide 16 outlines the key changes from 2025 to reach the high end of our 2026 comparable EPS forecast. As previously noted, benefits from our strategic initiatives are a key driver of higher comparable EPS. Fleet Management contractual businesses are expected to contribute $0.7 in incremental EPS, primarily reflecting benefits from our lease pricing and maintenance cost-saving initiatives. Supply chain and dedicated are expected to contribute $0.55 in incremental EPS, reflecting improved performance in omnichannel retail and the initial benefits from the flex operating structure in Dedicated. Our transactional used vehicle sales and rental businesses are expected to deliver a net $0.5 EPS benefit due to improved rental performance partially offset by lower used vehicle sales results. In rental, we expect utilization to be higher than the prior year on a 13% smaller average fleet. We also expect sequential demand to return to historical seasonal trends. 2026 used vehicle gains are expected to be slightly below 2025 levels. Our full-year forecast assumes used vehicle prices begin to modestly improve in the second half of the year. We expect used vehicle prices to remain above residual value estimates used for depreciation purposes. A 23¢ EPS net benefit is expected from a reduced share count, partially offset by a higher tax rate. This brings the high end of our 2026 comparable EPS forecast to $14.45, with a range of $13.45 to $14.45. The transformative changes we have made to the business model continue to deliver strong results. The earnings power of our contractual businesses and our strategic initiatives are more than offsetting near-term headwinds in the transactional parts of our business. Turning to page 17. We expect 2026 earnings growth to be driven by incremental benefits from multiyear strategic initiatives, which began in 2024. These initiatives represent structural changes we are making to the business and are not dependent on a cycle upturn. We now expect to surpass our initial target of $150 million in annual pretax earnings benefits from these initiatives and have upsized our target to $170 million upon completion. To date, we have realized $100 million in benefits, leaving $70 million of incremental benefits expected in 2026. In fleet management, we expect our multiyear lease pricing and maintenance cost-saving initiatives to benefit 2026 results. In dedicated, we expect incremental benefits from acquisition synergies as well as initial cost savings from our Flex operating structure. In Supply Chain, we continue to focus on optimizing our omnichannel retail warehouse network through continuous improvement efforts and better aligning our warehouse footprint with the demand environment. In 2025, we downsized and exited select locations and expect to recognize incremental savings from these actions in 2026. In addition to driving our outperformance relative to prior cycles, our transformed business model also provides a solid foundation for the business to meaningfully benefit from the eventual cycle upturn. We have increased our initial estimate for the annual pretax earnings benefit we expect to realize by the next cycle peak to at least $250 million, up from our prior estimate of at least $200 million. The majority of the $250 million benefit is expected to come from the cyclical recovery of rental and used vehicle sales in FMS, with additional benefits from higher omnichannel retail volumes leveraging our rationalized footprint. We expect to recognize these benefits over time as freight market conditions normalize. In addition to benefiting our transactional businesses, we also expect additional opportunities for profitable contractual growth as freight conditions normalize. Supply chain achieved record sales in 2025, which is benefiting revenue and earnings in 2026. On the other hand, lease and dedicated have faced revenue growth headwinds as a result of the extended freight downturn. We expect contractual sales trends for these offerings to improve when the freight cycle recovers. We have been pleased by our resilience and performance during the prolonged freight market downturn and are confident each of our business segments is well-positioned to benefit from the cycle upturn. Turning to Page 18, we are forecasting a comparable EPS range of $13.45 to $14.45 versus $12.92 in 2025. We are also providing a first-quarter comparable EPS forecast range of $2.1 to $2.35 versus the prior year of $2.46. As a reminder, the first quarter has historically been our lowest earnings quarter, and in 2026, we expect it will represent the most difficult year-over-year comparison. Expected first-quarter results reflect used vehicle sales and rental market conditions that remain weak and did not show improvement in January. Supply chain comparisons will also be challenged due to record first-quarter performance in 2025. We remain focused on our initiatives and expect to deliver another year of earnings growth and higher returns. We are confident that our transformed business model remains capable of performing across a range of business environments. At this time, I will turn the call back over to Robert. Thanks, John.
Robert E. Sanchez: Turning to Page 19. Our transformed business model continues to deliver value to our customers and our shareholders. We continue to outperform prior cycles, and our results are benefiting from consistent execution and the strength of our contractual portfolio. We continue to see significant opportunity for profitable growth supported by secular trends, our operational expertise, and ongoing momentum from multiyear strategic initiatives. We remain committed to investing in products, capabilities, and technologies that will deliver value to our customers and our shareholders. That concludes our prepared remarks. Please note that we expect to file our 10-Ks later today. At this time, I will turn it over to the operator to open the call for questions.
Operator: Thank you. If you would like to ask a question, please signal by pressing star 1 on your telephone keypad. If you are using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. Again, press star 1 to ask a question. We will pause for just a moment to allow everyone an opportunity to signal for questions. And first, we will go to Jordan Alliger with Goldman Sachs.
Jordan Alliger: Hey, good morning. It is Andre on for Jordan. Thanks for taking our question. It is a helpful earnings walk on Slide 16 to get to the high end of your EPS guide for 2026. Just curious between the buckets you lay out in terms of the year-over-year earnings tailwind, if you could just share where the largest variability lies within those buckets with respect to getting to the low end versus the high end. And then maybe what is driving that variability. Just the puts and takes there would be really helpful. Thanks.
John J. Diez: Sure. Hey, Andre, it is John here. If you look at page 16, I would say the biggest variability there is really tied to our transactional business. When you look at the improved earnings of the businesses, on the FMS side, a lot of it is coming from lease pricing and another year of maintenance, strategic initiatives. I would say we feel really confident in our lease pricing based on the momentum we had at the end of last year, and that will carry over into this year. Maintenance, there is some variability there, but we see that the business continues to execute at a better level than we were previously. If you look at supply chain, clearly, there you do have the omnichannel optimization. And you heard in our prepared remarks, we took some actions last year that really set us up to deliver incremental benefits from both the omnichannel as well as the dedicated flex structure activity that we made. So, overall, I would say probably the biggest variability in our strategic initiatives is probably tied to our maintenance organization and some of it tied to our omnichannel optimization activity. Clearly, Redwood and UBS, we have no meaningful improvement in those transactional businesses. The low end of our range does contemplate further deterioration from Q4 if rental and UVF were to pull back. And that is what is contemplated in the 13.45 at the low end. But we feel really good about the strong contractual portfolio performance and obviously the confidence we have in executing again on our strategic initiatives.
Jordan Alliger: Appreciate the color.
Operator: If you find that your question has been answered, you may remove yourself from the queue by pressing the star key followed by the digit two. We will go next to Ben Moore with Citibank.
Ben Moore: Hi. Yes. Good morning. Appreciate taking our question. Great print on the used gain of $12 million in 4Q. Wanted to ask, what is your view on cadence for that? You mentioned 1Q should be softer. Should we be looking at a step down not too much from that 12 mil? And then gradually improving beyond that 12 mil throughout the year, or what is your view on kind of 1Q through 'twenty-six for used gain, please?
John J. Diez: Yeah, Ben. Let me make a few remarks, and then I will turn it over to Tom. We do see the environment on the used vehicle sales side kind of gradually improving as we get through the year. We do expect Q1 to be kind of consistent with what we saw in Q4. We are expecting tractor pricing to improve as a lot of capacity keeps coming out of the market, and that will bode well for tractor pricing going into the second half of the year. Trucks, which is the majority of our inventory today, we do expect trucks to continue to be kind of depressed at the current fourth-quarter levels. Which, as you recall, year over year, truck pricing was declining all of last year, so it is going to make the comparables a little bit more difficult. We do expect to improve retail mix next year, but I will let Tom talk about what he is seeing in the business.
Thomas M. Havens: Yeah. I think your initial read on that was right. So what we saw in the fourth quarter, and I think you see it in the gain numbers where we did a lot less wholesaling in Q4. But Cristina also mentioned that in her opening comments that the retail pricing in Q4 actually fell a little bit. We are expecting that to continue into Q1. So the kind of first part of the year you see a little bit of decline in the pricing of retail. And then in the you get into the second quarter and beyond, you start to see that pricing improve, which then leaves you a full year that looks kind of flat and gains year over year. So that is what we are seeing. We are certainly not seeing any pickup in volumes or pickup in activity yet at our UTCs. We will see how that develops throughout the quarter and the rest of the year, obviously.
Ben Moore: Great. Really appreciate that. And maybe just a follow-up on what you mentioned with capacity coming out of the market. The kind of the sense from the market is with government enforcement of nondomiciled CDLs, English language proficiency, ELD devices, you know, trucker schools, we may see, you know, the capacity exiting, drivers exiting, driving more used trucks flooding the market, depressing used truck pricing. But it seems like maybe there are kind of puts and takes there. And then maybe going into the second order effect, where for private and private fleets for hire, it carriers and private fleets would be buying trucks to pick up the associated freight from the, you know, operators who left, which could lift used truck prices. Can we get a sense of your views on that kind of tying in with the Cadence two twenty-six, tied in with this policy change?
John J. Diez: Yeah. Ben, I would say, look, broadly, we do see evidence that capacity is coming out of the market, and we think even independent of those macro factors you talked about, we do expect that the capacity is going to get tighter as we look at 2026. As far as what we are seeing on the driver side with immigration, and some of the rules that have come out, I would just say that primarily impacts the for-hire carrier market, which is primarily impacting our sleeper tractor class. And if you look at our inventory of used vehicles today, it is predominantly a truck inventory. So the impact to used vehicles, even if we see a slight blip down, is going to be, I would say, minimal for Ryder System, Inc. going forward. Clearly, for us, we continue to look for signs that the market will take an upturn. We think overall capacity exiting the market will be good for us long term to not only impact our transactional businesses but also help grow our contractual businesses in both lease and dedicated service.
Ben Moore: Great. Appreciate that. And maybe if I can just squeeze one more in related, for your SCS division. You have noted having signed new SCS business starting 2Q, 3Q this year. Can you talk to the magnitude of that business dollar-wise or percentage of revenue growth-wise? And any new signings on for, 1Q or April or February or March? Since then?
Robert E. Sanchez: Hey, Steve. Ben, this is Robert. Look. I think the good news is we had a very strong sales year in 2025 in supply chain. It was a record year considering all the challenges in the economy. I think it is a great story. Those business those new wins start getting layered in throughout the year. And you will start to see the benefits of that more as I had mentioned in the last earnings call, probably more into Q2, Q3 is where you really start to see more of that layer. But, Steve, you can give them additional color there.
Steve Sensing: Yeah. Think if you as you think about it, think about omnichannel retail where we are seeing an increase in sales. I think we are off to a really good start this year. At the end of the day, it is all about our people. The relationships that we have built, not only from the vertical leads in our sales team to the frontline operators. Because as we execute, that gains confidence from our customers. About 80% of our sales this year was expansion sales. So I think that drives to that execution. Continuous improvement and innovation that we bring to our customers. So you know, and on the backbone of our port to door strategy, you are seeing a good expansion, you know, across many of our service offerings.
Ben Moore: Great. Really appreciate that. Thank you.
Operator: We will go next to Jeffrey Asher Kauffman with Vertical Research Partners.
Jeffrey Asher Kauffman: Thank you very much. Well, first of all, congratulations, Robert, on a tremendous run. It really transformed the company and also congratulations, John. We look forward to your leadership. So I guess two questions. All these trucking equities are going up. And spot rates are up and people are enthusiastic that maybe we are starting to see a bit of a turn. And I know they are more focused on pricing and driver constriction as opposed to vehicle demand that is actually shown signs of increasing yet. But it seems like your forecast is a little more dour than that. And particularly when I look at the ratio of rental equipment to lease, you know, normally, you have, like, 25% rental trucks to lease trucks because you are going to need full-service lease support, but you guys are down to 22% and it looks like you are headed toward 20, just based on the guide. So I guess kind of what are you seeing differently than the optimism that some of the freight carriers are seeing out there?
Robert E. Sanchez: Let me let John give you a little more color. I will just start by telling you that clearly, the range that we have given for the year the top end of the range does not assume any significant pickup in the market. That is not because we have a different crystal ball than the rest of the market. We just have not seen evidence of that yet in our business. So clearly, things got better, there is an opportunity for things to get above that number. But given what we are seeing today, that is the guidance we are giving. But I will let John give you color on that.
John J. Diez: Yeah, Jeff. If you look at rental for us and we made mention of it, we looked at January event. We have seen the spot market tighten up a little bit. We have seen capacity, I said, you saw the PMI print, come out a few days back. Which was fairly positive. We just have not seen it as of yet. We typically see about a six-month lag before really, market conditions improve show up in rental. So clearly, our guidance, you heard from Robert just now, does not reflect that. But if market conditions do show signs of improvement, we will see that in the second half at the earliest. The strength of that improvement also will dictate what we could see, come through to the bottom line. What we have done, back to your question on the fleet, and rental in particular, is we are looking to tie the fleet as we get through the first half of the year. And then in the second half with no meaningful improvement, you should see us return back to historical utilization levels of high seventies. And that is kind of where that self-improvement plan comes into play here. Clearly, if things if we see demand picking up, we could slow down some of that activity of defleeting and extend that equipment. And, clearly, we could go out and buy and look to buy additional equipment to introduce into the fleet.
Jeffrey Asher Kauffman: And just one follow-up if I can. You guys talk about Baton from time to time. I am not so sure the rest of us really understand what differentiates it versus going out into the market and just looking for AI solutions, new type solutions. Can you talk a little bit about the advantage of Baton and what it means to the company?
John J. Diez: Yeah. Baton was initially a Ryder Ventures investment we made. Working with them for a few years, we realized there was significant value for them to really be the catalyst for us to optimize and create solutions for our customers through digital technologies and optimize fleets. So they had that business know-how and some of the technology underpinnings. We bought them. We have obviously had them look at our Ryder Share platform. And really improve on that platform from being a visibility and event management tool to being an optimization transportation optimization tool. With their capabilities, the Baton Group's capabilities, we feel we have not only the skills to take advantage of even some of the emerging technologies in AI, so that we could deliver greater value into the future for our transportation.
Jeffrey Asher Kauffman: Okay. Thank you very much, and best of luck. Thanks, Jeff.
Operator: We will go next to Rob Salmon with Wells Fargo.
Rob Salmon: Thanks, operator, and for taking our questions. Clearly, to piggyback on what was just being asked with regard to rental, clearly, we are seeing some elevated spot rates in the market. It would be helpful if you provide just a little bit more context of what you are seeing across your rental customers, i.e., the FMS customers that traditionally have equipment down or they are having surge business and operating in the rental versus your standalone rental customers just to get a sense of how that business is trending here? I will let Tom give you some color. I will just tell you that the three what we would call more like leading type indicators in our business are used vehicle sales, rental, and our leased power miles. And we have not really seen a meaningful move in those yet. Our used vehicle retail pricing was actually sequentially down a bit as Tom had mentioned. Rental utilization stable, but really not improving so far. Our lease miles were flattish. So that kind of gives you a bit of color on what we are seeing today. Obviously, with some of the early some of the early indicators around PMI and the tightening of the for-hire market. You could see some improvement later on in the year, but that is where we are now. But Tom, do you want to give color around rental?
Thomas M. Havens: I will give you a little color on the utilization that we are seeing and the demand. I know you guys can see the year-over-year comp, but we were down 1% on utilization. On a smaller fleet. So the demand in total was down. The December utilization landed at about 74%. And as we stepped off and rolled into January, that went down to 66, which is pretty typical to what we see. But down a little bit worse than our historical seasonal trends. So what we have put in this forecast is a little bit lower seasonal trend in the first quarter, and then for the balance of the year, a very normal seasonal trend that we would see. And then to directly answer your question on the type of customers that we are seeing. I would say that our pure business or the non-lease customer down slightly year over year. So I would say that business has been somewhat stable throughout 2025. But really what has been impacting our demand is our lease customers have not had the need for lease extras like we have historically seen. That is a trend that we have had for a couple of years here. I think I have mentioned it on previous earnings calls where the biggest impact to our lease fleet is customers have been downsizing their fleets and not growing their fleets. That trend was the same in Q4. And of course, if they are downsizing their lease fleet, there is certainly no need for rental. So those are the trends we have been seeing for quite some time, and we have not seen any change to that yet. Hopefully, at some point this year that will change, but have not seen it yet.
Rob Salmon: And just a quick follow-up. I think you guys measure your rental on just total days. Was January did we have an outsized impact in January because of storms? Driving that kind of worse than normal seasonality? Or was it are you looking at on a weather-adjusted basis?
Thomas M. Havens: We did not look at it as an adjusted basis, but it did not seem that the weather impacted the utilization at all.
Rob Salmon: Helpful context there. And, I guess, taking a step back, right now, kind of at the bottom of the market, DTS margins are at your target range over the cycle. Same with SCS. Should we be thinking that there is potential upside here relative to the longer-term targets given some of the internal initiatives and acquisition cost outs that you guys have been executing on? Or are there offsets that we should be thinking about as we get into a better demand environment where maybe we are seeing higher turnover, higher investment that we should be kind of cognizant of? Just your perspective on those two segments' longer-term margin opportunities.
John J. Diez: Yes, Rob. For now, our long-term targets, I think, are still appropriate. We have seen margin expansion even within that high single-digit target within the supply chain business as that business has scaled and continued to grow. Dedicated is the one part of the business that does ebb and flow depending on where we are at in the cycle. And as you called out, typically, we are growing that business, initially, we are going to see some pressures and headwinds with higher driver costs because the level of turnover and cost to acquire drivers goes up typically. But that will oscillate the low end of the high single digits and then in a weak environment, you will see us climb up to the high single digits. So what you should expect is kind of more of that movement that we have seen historically on dedicated. And supply chain continues to really perform, and we are seeing that it consistently has been performing at that high single-digit level or to the upper end as of late.
Rob Salmon: Appreciate the color.
Robert E. Sanchez: Thanks, Rob.
Operator: We will go next to David Michael Zazula with Barclays.
David Michael Zazula: Hey, thanks for taking the question. Can I just ask about the Flex operating structure and the benefits you are expecting to see from that in Dedicated and you could you know, if dedicated, you know, sales ramp up and you start to get seeing some new contracts, could, you know, some of that structure offset some of the margin headwinds with normally expect? In an upswing of the dedicated business?
John J. Diez: Yes, David. I think right now, what we have seen is really optimization in the back-office resources. As John talked a little bit a bit ago about LATAM, we are implementing some AI technology into the flex model that should allow us to, you know, reduce driver dwell time and better allocate drivers to the right operation. So certainly as the market comes back up, density comes into the flex model. And there should be some upside growth on the top line.
David Michael Zazula: Awesome. Very helpful. And then yeah, with respect specifically I mean, we can see the global numbers. But to your auto customers, what has the conversation been like in trying to reduce the negative auto component? To SCS in 2026.
John J. Diez: Yeah. I think if you look at the diversity of our portfolio five, six years ago, we really focused on growing CPG and omnichannel retail, and we have done that. I think the diversity in our OEMs that we serve is very well balanced. What we were challenged with in Q4 was a microchip shortage that impacted a few of our customers. And we are going through a retooling effort right now with many OEMs as they are converting away from EV vehicles into more ICE. So we expect that to kind of get back to normal in the back half of the year.
David Michael Zazula: Very helpful. Much appreciated.
John J. Diez: Alright. Thanks, David.
Operator: We will go next to Ravi Shanker with Morgan Stanley.
Ravi Shanker: Hi. This is Nancy on for Ravi. Thanks for taking my question. I just wanted to touch on your January commentary a bit more. Is sort of the lackluster January seen so far just because you are going to be seeing a delayed impact from the cycle? Just trying to hammer down the difference between what you are seeing and maybe others in the market.
Robert E. Sanchez: Yeah. I think, Nancy, it is really more the service offerings and the products that we have. We are not in the spot truckload business. So there is a lag when there is tightening of the market. Between when you start to see that and you start to see an increase in our rental business in our used vehicle business. So part of it could just be that, that you are just not seeing it yet. We did we that is one of the reasons why we did not build into our full-year guidance any meaningful improvement in the market. Obviously, that holds and it continues to move in that direction, that could give us some benefits in the back half of the year.
Nancy: Got it. Thank you. And then in regards to the full-year guidance, how do you think Ryder System, Inc. will perform if any inflection is predominantly supply-side driven rather than demand and rates go up because of supply rather than demand? Sort of helpful to hear your expectations if that is the case.
John J. Diez: Yeah, Nancy. We are still going to benefit whether it is supply-driven or demand-driven, I would say, especially on the used vehicle sales side. If there are fewer vehicles out there to be had, you should see kind of a lift in these vehicle pricing over time. Clearly, the catalyst to the two fifty will be dictated primarily by demand-driven improvement, but certainly supply continuing to tighten up will also be helpful for us. And really start driving, hopefully, sales activity in both our lease and dedicated space.
Nancy: Very helpful. Thank you.
Robert E. Sanchez: Thanks, Nancy.
Operator: We will go next to Harrison Ty Bauer with Susquehanna.
Harrison Ty Bauer: Great. Thank you for taking my question. Robert, John, congrats on the upcoming transition here. I wanted to revisit UBS, but maybe in the context of what some of your fleet strategy is for the year. You discussed a dynamic where both your lease and rental fleet are likely to come down throughout or end of year to end of year with maybe a little bit more punitive coming down in the beginning part of the year and we have seen some other freight companies take some decisive actions, you know, through large impairments on some underutilized assets. Is your UBS certainly being negative in the upside of your case, does that include the potential for maybe Ryder System, Inc. taking some more decisive actions on moving some of that underutilized fleet into the wholesale channel in the first half of this year? And if we could potentially see something similar to the losses that we saw in 2Q of twenty twenty-five.
John J. Diez: Yeah. Harrison, on the UBS environment, as we look forward, we do see a stabilizing environment. And as I mentioned earlier, we do expect actually tractor pricing to improve. So we are not expecting any sort of dramatic downturn on the upper end of our guidance. Clearly, if there is some pullback, and pricing does continue to move downward, we do not expect to have to take any sort of impairment charges. We think our residual values are appropriately set. So any level of pullback that is out there will be, in our opinion, will be, you know, low single digits. That being said, we do expect UVS to kind of, I would say, perform in line with what we saw in 2025. Yeah, you may see some unevenness as we go through the year depending on the retail wholesale mix that we implement in any one quarter. But you are going to see some performance similar to what you saw in 2025. That is what is in the guide. That we put out.
Harrison Ty Bauer: Thanks. And maybe as a, you know, quick follow-up, curious if maybe you could answer this that you participated in bidding for one of your dedicated competitors made a pretty recent sizable acquisition in First Fleet. I know you guys have been hunting or considering more opportunities on M and A as a way to deploy capital? Can Curious if that is a process that you participated in and just maybe an updated appetite on where you might see m and a and the size of that, you know, as a potential way to deploy capital, you know, from all the cash you are driving? Thank you.
Robert E. Sanchez: Yeah, we do not comment on any particular deal, but obviously we are in the market and we are going to continue to be looking for well-run companies in the target areas that we have outlined. And when we find the right ones, as you know, based on our balance sheet, we have got plenty of capacity to do the types of acquisitions that we are looking for.
Operator: We will go next to Scott H. Group with Wolfe Research.
Scott H. Group: Hey. Thanks. Morning or, I guess, afternoon. We have seen a pickup in the class eight orders the last couple of months. Are you seeing a pickup in leasing demand, leasing activity? What is your sense? Is this sort of just replacement or is there some growth? Do you think there is a big pre-buy coming this year? So that was the first question. And then just secondly, the comment in the bridge about lease pricing increases, is that sort of is that an incremental tailwind this year? Or is that more so carryover from last year?
John J. Diez: Okay. Scott, let me answer the second question. I will make a remark on the first question and turn it over to Tom. The lease pricing and the reason for the upsize from the $1.50 to the $1.70 is largely due to the pricing initiative where we have seen that has come in stronger and obviously the replacement cycle of our existing portfolio has extended out to 2026. So the $20 million is predominantly the pricing initiative. As being incremental. And that is the reason for the upsides from $1.50 to $1.70. As far as what we are seeing in the class a, sales numbers, most of that, as we understand it, is coming from the for-hire carriers. That are, for the first time, kind of coming back into the market. And planning ahead for 2026. They may be getting their orders in. We are not seeing any sort of pre-buy activity from our customers on our lease side. So I will let Tom maybe provide a little bit more color, but that is kind of what we are seeing.
Thomas M. Havens: Yeah. Not much more to add, really. Not seeing any meaningful change in customer behavior out there that maybe the only thing I could say is that our sales pipeline is at near record levels. Which might suggest some pent-up activity could be coming, but other than that, I would say no change to customer behavior and no change to incremental demand or activity at this point.
Scott H. Group: Thank you, guys. Appreciate it.
Operator: Thank you. At this time, there are no additional questions. I would like to turn the call back over to Mr. Robert E. Sanchez for closing remarks.
Robert E. Sanchez: Okay. The only thing I will bring you back to is clearly as we did in 2025, 2026 is another year of initiatives-based earnings growth. If we get help from the market, that will be an upside positive. But we are certainly focusing on the things that we can control, continue to do that, and continue to execute on that. So thank you all for your interest in Ryder System, Inc. Have a great day.
Operator: That concludes today's conference. We thank you for your participation.